Operator: Thank you for standing by, and welcome to Regis Resources Limited Full Year Results Briefing. [Operator Instructions] I would now like to turn the conference over to Mr. Jim Beyer, Managing Director and CEO. Please go ahead.
Jim Beyer: Thanks, Renju, and good morning, everyone, and thanks for joining us for the Regis Resources Financial Year 2025 full year financial results. I'm joined this morning by our -- or with our CFO, Anthony Rechichi; our COO, Michael Holmes; and our Head of Investor Relations, Jeff Sansom. On this call, we will be referring to various slides in the pack that we released earlier this morning. This, of course, can be downloaded from our website or the ASX. It might be helpful if you've got that in front of you. So with that in mind, referring to Slide 3. First off, I have a look at safety for the year, and Regis continues to deliver safe and profitable ounces. Our lost time injury frequency rate for FY '25 was 0.4%, well below the gold industry average, which I think the latest is around 1.6%, reflecting our ongoing commitment to safe production across all our operations. This year, we also reported our first integrated annual and sustainability report, which highlights not only our ESG achievements but also our progress on climate-related reporting. Just a couple of key ESG highlights to include now. We saw a 7.6% reduction in Group 1 scope -- sorry, group Scope 1 and Scope 2 emissions year-on-year. We delivered more than 200 hectares of progressive rehabilitation across the Duketon site, and our female representation increased to 23% across the workforce. We're also well advanced in aligning with mandatory climate-related disclosures, which will become part of our statutory reporting framework in FY '26. Now turning to the financial results. Many of those numbers were foreshadowed, of course, in the quarterly release a month or so ago, but it's worth repeating because FY '25 has been a record year for Regis. Look, I'll try not to steal all o Anthony's thunder, but there are some high-level metrics that I would like to mention. Firstly, we delivered a record net profit after tax. And I would point out that's not underlying that is the actual net profit after tax of $254 million, that's a $440 million turnaround from last year's loss. And Anthony will put a little bit more context around that shortly. Also, our record statutory cash flows from operating activities was $821 million, that's up 73% from the prior year. Importantly, after repaying our $300 million of corporate debt in January, we closed the year with $517 million of cash and bullion, strengthening our balance sheet and providing flexibility. Now just to contextualize this, I think it's sometimes easy to talk about these things in terms of a net debt, net cash position. So if we look at where we were 12 months ago, Regis was in a net debt position of $5 million. So we were in debt to the June net of $5 million. And now 12 months later, we sit at a net cash and bullion position of $517 million. Reflecting this strong profitability and cash generating capacity, the Board has declared a fully franked final dividend of $0.05 per share. That's the equivalent of a distribution of about $38 million. With this dividend, Regis has now declared nearly $585 million in fully franked dividends since 2013. Now with that, I'll hand over to Anthony to step through the financial results in a little more detail.
Anthony Rechichi: Thanks, Jim, and good morning, everyone. I'll turn you now to Slide 5 of the presentation. And this is a really impressive chart that demonstrates the cash generation capacity of Regis's business. We started the year with $295 million of cash and bullion which grew by $222 million to $517 million by 30 June 2025, as Jim was saying. Now importantly, that includes the $300 million of debt we repaid in January. So before the debt repayment, cash and bullion effectively grew by $522 million. Looking to the income statement. So now I'll get you to look at Slide 6. Gold sales were $1.65 billion, up 30% on FY '24, and driven by a 47% increase in realized gold prices. Cost of sales, excluding depreciation and amortization was similar year-on-year. Depreciation and amortization itself increased by 14% and largely due to the accelerated amortization of pre-strip at Ben Hur and the Tropicana open pits. We expect depreciation and amortization to be a little lower on a per ounce basis in FY '26 versus FY '25. You'll also note and exploration and evaluation expense of $11 million, which relates to McPhillamys. I would note that since last year's Section 10 declaration for all of FY '25 and until further notice, McPhillamys' costs are being expensed directly through the profit and loss account. Another key item is tax. We recorded a tax expense of $109 million in FY '25 and an estimated tax payable of just under $100 million. After several years of tax benefit positions, Regis will now move into a payable position, again, a product of our high profitability. And just on that, as a result of the upcoming tax payable on the FY '26 financial year, our $0.05 a share dividend will be 100% fully franked. So all up, the results translated into a record net profit after tax of $254 million, a $440 million turnaround from last year's net loss, which was impacted by the McPhillamys write-off and the cost of closing out our hedging contracts. Now on to the statutory cash flows and balance sheet on Slide 7. Statutory cash flows from operating activities was a record at $821 million, up 73% on last year, a stunning result for a business to be approaching $1 billion in cash flows from operating activities. On cash flows from financing activities, the only major item was the repayment of our $300 million debt back in January, as we've discussed. At year-end, we had $517 million in cash and bullion and our $300 million revolving credit facility remains undrawn. Our balance sheet is in an excellent position and continues to strengthen. Overall, FY '25 was a step change in the company's financial strength, positioning us well to pursue growth opportunities while continuing to generate meaningful shareholder returns. Thank you, and back to you, Jim.
Jim Beyer: Yes. Thanks, Anthony. So to summarize, what you've heard, FY '25 has been a year of records for Regis. The team delivered consistent operating performance, which has translated into record financial outcomes, strengthen the balance sheet and with that, we are returning $38 million in dividends to shareholders, along with their participation in the high capital growth that they've seen over the last 12 months, at least. As we've demonstrated over the years, our capital allocation remains disciplined. With our unhedged position, strong gold prices and an ongoing delivery against plan, we're confident in sustaining this momentum into the current FY '26 year and beyond. And we paid [indiscernible] we are well positioned to fund growth internally, maintain financial flexibility and to continue to build and return value to our shareholders. Well, thanks for your time this morning. I'll now open it for questions.
Operator: [Operator Instructions] The first question comes from the line of Andrew Bowler with Macquarie.
Andrew Bowler: First 1 from me, just around dividends. I couldn't find a formal policy in the documents you provided today. I was just wondering if there is -- I wanted the Board to provide a formal policy in time? Or is it going to be ad hoc over the next little while?
Jim Beyer: Look, we don't currently have a formal policy Obviously, these things that are always discussed. But -- and internally, we consider a number of metrics. But at this point in time, the Board doesn't have a stated or unstated policy that we apply. We just look at what the cash and profitability has been on the business and look at what we see the -- our requirements might be going into the future and make a decision on that. But you'd have to know in the current -- you'd have to say in the current environment. It's a very strong 1 and for gold producers, and that's why the Board elected to make the decision to award or pay a dividend.
Andrew Bowler: No worries. And maybe 1 for you, Anthony. Thanks for that additional color about that $100 billion lumpy debt payment in the third quarter of this year. beyond that, is it meant to be -- is it likely to be more normal PAYG installment process from then on? Or is $100 million that you're expecting this year in terms of cash tax?
Anthony Rechichi: No, you're right, Andrew. Once we true up the bill of around $100 million for the tax payable going forward, we will start to make monthly tax payments again.
Operator: Next question comes from the line of Al Harvey with JPMorgan.
Alistair Harvey: Just on inorganic growth. I know you obviously holds down speculation of those talks on acquiring the other 70% of Tropicana. I appreciate it's challenging to answer questions on the topic. But perhaps you could just help us frame your views on acquisitions in the context of your comments in the release earlier this week, I suppose, as to exactly what a deal would be that would align with your strategic goals and what accretive to shareholders means to you, in your view, I suppose, long-term NPV earnings accretion, steady production. Just help us put some numbers around it.
Jim Beyer: I think you probably just answered your own question there, now. But I mean, our view on anything that we look at or consider in terms of inorganic growth has to be accretive for our shareholders. If it's not accretive for our shareholders, the fundamental question is, why would you do it. So and the elements that we look at in that are, as you just described them on an earnings per share basis, on an NPV or NAV basis, we would look at all of those as we do -- as we have done in the past and we'll probably do -- continue to do in the future.
Alistair Harvey: Any of those, Jim, rank higher in yours or the Board's view?
Jim Beyer: Look, I think you'd have to say that the fundamental analysis would have to be, overall, does the asset give you -- is it accretive from an NAV point of view? Because you might do something that looks great for 1 year on an earnings per share basis, but then it's value destructive in the medium to longer term, and I'm not sure why you would consider something like that. But -- and they might alternatively be something that's got great long-term value but might look a little bit value -- not accretive in the short term. So every single scenario has to be considered on a case-by-case rather than putting in a single measure that it must do this and must do that. And yes -- I mean it's like everything, Al, you just got to look at them at the range of ways that you assess the project and look at it on a case-by-case.
Alistair Harvey: Yes. Makes sense, Jim. I suppose just a follow-up there. I mean how does the upcoming judicial review on McPhillamys and the growth that, that could introduce into the portfolio impact the way you're looking at inorganic opportunities?
Jim Beyer: Well, it's definitely part of the equation. But the judicial review is currently scheduled for December. Regardless of the outcome there, we -- as I think we've said in the past, the McPhillamys project is a fantastic project. It is really good to have in our portfolio. Probably the most frustrating part about it is the timing that we could bring it in. I mean if that project was running now on its average all-in sustaining costs and the spot price of today, if you look at the math, I think it's an average production of 180,000 ounces a year, average all-in sustaining costs last year were $1,600 an ounce, had a bit of inflation under that. You could do the math, this thing would be generating at least $1 million, $1.5 million in cash a day if it was operating at the moment pretax, right, on average. So do we think it's a valuable project? [ Absodamnlutely ] we do. Unfortunately, this review, as we said at the time, has created a delay for us, and we will pursue the judicial review. But at the same time, we'll look to try and see if there's an alternative way to be able to store the tails. But as we said last year, that work could take us at least 4 or 5 years. It's just not that easy. But it's worth enough to us that it sits in our portfolio. But from a timing perspective, it's at least a couple of years out, even if the judicial review is successful by the time that all plays out, we're talking a time frame here that sort of well out in front of us. So from that point of view, we like to look and consider what we might be able to do for other organic or inorganic growth options.
Operator: Next question comes from the line of David Coates, Bell Potter Securities.
David Coates: Congratulations on a great set of -- great looking set of numbers this morning. No surprises. Question on the dividend, I don't know how much color can give us. But in terms of your capital allocation priorities that's gone, dividend buybacks. Can you just sort of maybe give us a bit more color on like how that -- how the decision just sort of paid dividend was arrived at and how it kind of got above, I guess, sort of the other uses of capital?
Jim Beyer: Yes, sure. And you just reminded me at the start of this, I meant to go back and recount the old Paul Keating statement, as these are a beautiful set of numbers. So thanks for reminding you that I should be giving it a [indiscernible] because they are pretty good. So your question on dividends is a good one. Probably maybe to give a little bit of context around it. And as I said earlier, we don't have a specific policy so you need to take that into account when I make these comments. But when we looked at FY '25, we saw it as a bit of a year of 2 halves, right? The first half of the year, we really built up our cash. We had no hedging. We did a great job of delivering into our plans. And effectively, what we did there, which was as we described through the year, the first objective was to pay down our debt which we did early in the new year which then says, all right, well, the second half of the year, we were debt-free building cash, and we got to the end of half 2, and we were very comfortable and like the way that the business was running. Of course, who wouldn't, and then elected to pay a dividend. So without sort of specifically saying that we have a policy 1 way or the other, it was certainly a case of the first half of the year, we spent putting our money into paying down the debt. In the second half of the year, we looked at building up our cash and returning some dividends based on second half performance. So that will be the view that we take as we look forward as to how might we be thinking about dividends. [indiscernible]
David Coates: It does a little bit, yes. And the quantum on $38 million sort of -- just sort of seem as a management on affordable amount to payout given although, I guess, potential uses of capital in the next 12 months? Is that sort of reasonable to say that?
Jim Beyer: Yes, that's right. We just think it was a sensible -- we just think that it was a sensible point to restart our dividend repayments. I wouldn't like to describe it is -- I won't describe it as dipping our toe in. But clearly, we're in a -- we're in a good financial position. But we also -- yes, we wanted to basically keep some of our powder dry for our capital growth options.
David Coates: And finally, Jim, you must be getting pretty bored asking questions on M&A, but I'll ask another one. Gold sector is obviously pretty densely combed over at the moment. But would you consider any other commodities?
Jim Beyer: Would we -- sorry, would we consider any other commodities?
David Coates: Consider adding exposure to any other commodities, yes?
Jim Beyer: Look, I think, yes, our response to that has been -- we certainly look to -- at the moment, we would look to and consider other commodities if it was something that was in combination with gold. We're definitely not looking to sort of create an iron ore arm or a diamond's arm or something like that. But if we discovered in the Lachlan Fold belt or if we found the right M&A opportunity that had copper and gold combination that certainly wouldn't scare us at all. That would be something that probably would be welcomed in. But would we go off and look for some non-gold related commodity on a stand-alone basis? That's certainly not something we're contemplating at the moment.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand back to Mr. Beyer for closing remarks.
Jim Beyer: All right. Well, look, we'll leave it at that. Thanks, everybody, for joining us. We realize it's a pretty busy time of the year. Thank you for your questions as well. And as always, if anybody has got any follow-up, please give us a call, Jeff's standing by, and we'll do our best to answer. Thanks very much, and have a good day.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.